Operator: Good day, everyone, and welcome to the Chubb Limited Third Quarter 2019 Earnings Conference Call. Today's call is being recorded. Later, we will conduct a question-and-answer session. [Operator Instructions]. And now, for opening remarks and introductions, I would like to turn the call over to Karen Beyer, Senior Vice President, Investor Relations. Please go ahead, ma’am.
Karen Beyer: Thank you and good morning, everyone. Welcome to Chubb's September 30, 2019 third quarter earnings conference call. Our report today will contain forward-looking statements, including statements relating to company performance and growth opportunities, pricing and business mix, and economic and market conditions, which are subject to risks and uncertainties and actual results may differ materially. Please see our recent SEC filings, earnings release and financial supplement, which are available on our Web site at investors.chubb.com for more information on factors that could affect these matters. We will also refer today to non-GAAP financial measures, reconciliations of which to the most direct comparable GAAP measures and related details are provided in our earnings press release and financial supplement. Now it's my pleasure to introduce our speakers this morning. First, we have Evan Greenberg, Chairman and Chief Executive Officer; followed by Phil Bancroft, our Chief Financial Officer. We'll then take your questions. Also with us to assist you with your questions are several members of our management team. And now, I'll turn the call over to Evan.
Evan Greenberg: Good morning. We had a strong third quarter with core operating earnings up double digit and excellent premium revenue growth globally. Growth benefitted from a continuously improving pricing and underwriting environment where insurance rates and terms continued to firm quarter-over-quarter in major areas of our business. Our growth is also benefitting from our many product, customer and distribution-related growth initiatives around the globe, particularly in the U.S., Asia and Latin America. Core operating income was $2.70 per share, up 12%. The balance of our earnings between underwriting and investment income was very good with underwriting income of 754 million, up 12.5% and adjusted net investment income of 910 million, up 3%. Global P&C underwriting income, which excludes agriculture, was up 27.7%. The combined ratio was 90.2 and benefitted from lower year-on-year CATs offset partially by higher crop losses, another CAT-like risk. On a current accident year basis, excluding CAT, the combined ratio was 89.5% and excluding ag it was 88.3%, up modestly like four-tenths of a percent from prior year. Book and tangible book value per share were up 2% and 3.3%, respectively, in the quarter and were up 9.8% and 15.7% since December 31, driven by a combination of strong income and the mark from falling interest rates. While benefiting temporarily our company's book value growth, prolonged low interest rates, a result of overreliance on monetary policy, have penalized savers and led to misallocation of capital and overvaluation of assets without substantially supporting business investments and economic growth. Annualized core operating return on equity for the quarter was 9.5%. Phil will have more to say about investment income, book value, CATs and prior period development.  Turning to growth and the rate environment, P&C premium revenue in the quarter in constant dollars was quite strong. Net premiums grew 7.2% and then foreign exchange had a 1 point negative impact. As I noted at the beginning, the pricing environment continued to improve quarter-on-quarter with the rate of increase accelerating and spreading to more classes of business and risk type. More perspective, rate increases in both our North America commercial lines and in our London wholesale businesses this quarter were double those of the first quarter, 6.4% versus 3.2% and 17% versus 8%, respectively. In the U.S., rates continued to firm in major accounts; E&S wholesale specialty and the middle market. In our international operations, we continued to observe firming conditions in the London wholesale market and in Australia, while rates began to increase in the UK retail market and parts of the continent, particularly for large risk. The market is responding to the fact that rates have not kept pace with loss cost over a number of years, which has put pressure on margins and ultimately on reserves. Rates have gone down while loss cost have risen, very simple math. However, as we have been saying for some time, the frequency of severity in certain long-tail and short-tail classes has been worsening while at the same time in other classes it has remained subdued or declined. For the sake of simplicity, let’s divide long-tail loss into three buckets. Bucket one, generally speaking in the attritional loss layers, severity has been increasing at a relatively modest pace and frequency has been steady, though there are exceptions. In the second bucket, in excess claims settlements has been increasing and putting pressure on rate adequacy, a consequence of so-called social inflation but also casualty attachment points not moving for years. A $1 million attachment point for casualty excess 10 years ago is worth a fraction of the amount today. And finally the third bucket, there has been an increase in class actions, large to mega, everything from securities and anti-trust related to science-based, for example, chemical, pharma and physical trauma-related. And there are casualty CAT type events such as molestation-related reviver statute legislative actions. I have spoken about all this for some time now. In my judgment, given the simple math, the risk environment and a reset of risk appetite on the part of many, the current market conditions are sustainable. Returning to the quarter. Overall prices increased in North America commercial on a written basis by 6.8% versus a loss cost trend of about 4.5%. Renewal price change 0.4% and exposure change of 0.4%. As I noted last quarter, we are also benefiting from a flight to quality, particularly in large account and specialty as more business meets our underwriting standards. Given the choice, many potential customers prefer Chubb. New business in North America commercial lines was up 18.5% in the quarter with major accounts and specialty up over 23%. And middle market and small commercial up over 9.5%. Retention of our customers remained very strong across all of our North America commercial and personal P&C businesses with renewal retention as measured by premium of 96.6%. In major accounts and specialty commercial, excluding agriculture, premiums were up 9.5% with major accounts retail up about 5.5% and E&S wholesale up over 18%. Rates for major accounts were up over 8% with risk management up 4.5%, excess casualty up 17.5% and property up over 29%. Public D&O rates increased over 17.5%. In our E&S wholesale business, rates were up about 7.5% with property up 17% and financial lines up 8.5%. Turning to our middle market and small commercial business. Premiums overall were up 5.6% and renewal retention in our middle market business was 92%. Middle market pricing was up over 6%; and excluding workers’ comp, up about 6.5%. Pricing for primary casualty was up 7.7%, property up 7.3%, excess umbrella up 7% and public D&O rates up 32%. In our North America personal lines business, net premiums written in the quarter were up 2.7%. But adjusting for the expanded reinsurance, net premiums written were up almost 4%, our best quarter of the year. Retention remains strong at 97% on a premium basis and steady at over 90% on a policy basis. Homeowners pricing was up 10.7% in the quarter. Turning to our international business. Growth accelerated in our overseas general insurance operations with net premiums written up about 11% in constant dollar and FX then had a negative impact of about 3.5 percentage points. Net premiums for our London market wholesale business were up 29%, while our retail division was up over 9.5% with growth broadly distributed across the globe. Growth in our international retail business was led by Latin America and Asia Pacific, up circa 10% and 9%, respectively, with UK retail in the continent up over 8% and 6%, a very good result. Overall, rates in our London wholesale business were up 17%. Our Asia-focused international life insurance business had a strong quarter with net written premiums up over 20% in constant dollar and a contribution to earnings of 40 million, up over 43% from prior year. John Keogh, John Lupica and Paul Krump can provide further color on the quarter, including current market conditions and pricing trends. In closing, this was a very good quarter for Chubb. Premium revenue growth continued to accelerate as more business met our underwriting standards and we continued to achieve greater price adequacy in an improving underwriting environment. At the same time, long-term growth initiatives around the globe, our organization is firing on all cylinders. With that, I'll turn the call over to Phil and then will come back to take your questions.
Philip Bancroft: Thank you, Evan. We ended the quarter with a very strong overall financial position. Our businesses and investment performance produced positive cash flow in the quarter of 2.2 billion. We grew our assets to 175 billion, excluding cash and invested assets of 109 billion, which generated strong investment income and we grew total capital to over 68 billion. Among the capital-related actions in the quarter, we returned 819 million to shareholders including 341 million in dividends and 478 million in share repurchases. Year-to-date through yesterday, we have repurchased over 1.3 billion new shares at an average price of $145.70 per share. Our annualized core operating return on tangible equity was 15.6%. Adjusted net investment income for the quarter of 910 million pre-tax was higher than our estimated range and benefited from higher private equity distributions and increased corporate bond core activities. Net realized and unrealized gains for the quarter were 263 million after tax. There was a gain of 503 million in the investment portfolio from a decline in interest rates, partially offset by a loss of 112 million from our variable annuity portfolio and a loss of 116 million from FX. Although market yields have declined significantly in recent months, we will remain conservative in our investment strategy and do not contemplate any significant shift in asset allocation. Despite the negative impact of lower interest rates, we expect our growth in invested assets and strong cash flow will support current investment income levels. We now expect our quarterly adjusted net investment income run rate to be approximately 900 million. Catastrophe losses in the quarter were 232 million with about 90% from U.S. weather-related events, including Hurricane Dorian and the balance from international events, primarily in Japan. In addition, agriculture underwriting income was adversely impacted by weather conditions resulting in underwriting income of 1 million compared to 79 million in the prior year. We had favorable prior period development in the quarter of 167 million pre-tax or 112 million after tax. This included 27 million pre-tax adverse development related to legacy environmental exposures. The remaining favorable development of 194 million comprises 279 million favorable development from long-tail lines, principally from accident years 2015 and prior and in short-tail lines principally from non-CAT large losses from commercial property lines. On a constant dollar basis, net loss reserves decreased 137 million reflecting the impact of favorable prior period development and catastrophe losses. On a reported basis, the paid-to-incurred ratio was 103% for the quarter. After adjusting for the items I discussed, the paid-to-incurred ratio was 96%. Our core operating effective tax rate for the quarter was 15.1%, which is in line with our annual expected range of 14% to 16%. Through the nine months, our core operating effective tax rate was 15%. As a clarification to a point in the press release relating to North America commercial, we had a 2 point increase in our loss ratio; 1 point is property related. Year-to-date losses were higher than our selected loss ratio. The other point is long-tail related, simply higher loss fix this year than last and in line with previous quarters, no change. I’ll turn the call back over to Karen.
Karen Beyer: Thank you. At this point, we're happy to take your questions.
Operator: Thank you. [Operator Instructions]. We’ll take our first question from Paul Newsome, Sandler O’Neill. Please go ahead.
Paul Newsome: Good morning. I was hoping you could touch a little bit more on your comments on the TOD environment, which I found very interesting. And specifically I’m curious if the buckets and descriptions you’re using are just attributed to the U.S. or given your international focus is also something we can think about having similar issues in or developments in the international markets?
Evan Greenberg: Yes, that’s a good question and good morning, Paul. The securities related and we don’t see it in general casualty. General casualty is behaving in a steady way. We don’t see the same factors that we see in the U.S. However, in securities related, so in D&O, the UK, Germany which has always been the troubled environment and Australia, there you see the same trends and in a place like Australia it’s even more acute. But that’s been for some time and I’ve been talking about it for a while because it’s the same – we’ve observed the trends for the last couple of years. The UK has worsened over the last two years, maybe three. Australia has been – it began deteriorating about four years ago and accelerated and it’s just a stupid environment now. And Germany given their insured versus insured – and the fact that they have – you have two boards in a company has been a difficult environment for a long time. But that’s about – the other markets around the world are kind of minor.
Paul Newsome: Great. And then separately just a more topical comment on the California wildfires and the exposures, is there anything about Chubb’s exposures out there that would be different from the last couple of years just from a pure written exposure from a reinsurance perspective?
Evan Greenberg: Well, let’s take the last couple of years, we do have a quota of share that we did not have before and that would be the one major difference. Over the last year, in particular, though it began two years ago but really it’s been the last year, we’ve been reshaping the portfolio. Given the underwriting environment and the level of rate we can charge, we have aggressively pursued more rate increase. So that earns into the portfolio and has a benefit and we’ve reshaped the portfolio around the margin and that continues, particularly in extreme wildfire zones.
Paul Newsome: Great. Thank you. Congrats on the quarter.
Evan Greenberg: Thanks a lot.
Operator: Our next question will come from Elyse Greenspan with Wells Fargo. Please go ahead.
Elyse Greenspan: Hi. Good morning. My first question, Evan, going back also to some of your comments on inflation, in North America commercial you guys pointed to consolidated trend about 4.5, which is in line with what you guys have been saying in the past couple of quarters. So just given the whole environment and what you see out there in terms of class action lawsuits, et cetera, picking up, do you view that as kind of the right base as we think about where trends would be over the next 12 months?
Evan Greenberg: Elyse, our trend reflects everything we know. And we have – and it’s the overall portfolio, so that’s everything; long and short tail. We have classes in long and short tail with the loss cost trend as benign. And we have in both long and short-tail classes where it is less benign and I specifically spiked out [ph] to talk about the casualty – and I’m using casualty in the broad sense, including professional lines. The areas where we for some time have been talking about that loss cost trends or like loss cost trends, the loss environment has been worsening or becoming more hostile. That’s all baked into that 4.5%. Our selected trend factors by line reflect everything we know that we can mathematically calculate and substantiate is in our loss PIKs. Now, we can’t speak about the future because we don't know the future. We only know what we can observe today in the trends as we see them today and we have reflective all of that.
Elyse Greenspan: Okay, that’s helpful. In terms of North America commercial, the prior year developments slowed. I believe it’s all due to what Phil pointed out in terms of the non-CAT losses in commercial property. I just wanted to clarify. So did all – away from just non-CAT property, did all their lines within commercial developed favorably in the quarter, if we can just get a little bit more color on that, were there releases within that business?
Evan Greenberg: In the current accident year – you’re speaking to current accident year?
Elyse Greenspan: No. I was talking about the prior year development, so the 109 this year versus North America commercial.
Evan Greenberg: We had releases and we had – we took reserve charges, as we told you. And when you say lines, it’s the lines that we study in the quarter. We don’t do a deep dive study on all lines every quarter. And as we’ve described numerous times, we have a schedule for that. And so of the lines studied in the quarter, those would be the long-tail ones that had releases. And by the way it’s many sub-lines and so some have some increases, some have decreases, but the aggregate that we gave you was a decrease.
Elyse Greenspan: Okay. Thanks for the color.
Evan Greenberg: Sure.
Operator: Next question from Greg Peters with Raymond James, please go ahead.
Greg Peters: Good morning. I have one question and a follow up. Evan, in your prepared remarks and I’m not trying to put words in your mouth, but I believe you suggested that assets might be overvalued due to the lower interest rate environment and I’m curious how you want your investors to view those comments in the context of your investment portfolio.
Evan Greenberg: Yes, what I was really relating to more than anything in my mind is I look at the prices people are paying to buy assets, all kinds of assets. And in my mind, in particular, I think about is we purchase insurance companies and we look at those assets and I find the market knows to be tremendously overvalued. And when I look at prices being paid and so much private equity and in IT related and technology related, the asset values are tremendously inflated and really making the comment that investors are chasing absolute yield, not risk-adjusted yield. When I come to our own investment portfolio, we’re very careful about how we invest the risk-adjusted return, not absolute yield, and that’s why Phil made the comment that there won’t be and you won’t see a change in our investment philosophy and strategy, because we’re disciplined and we’re not just going to chase the highest yield, for example, in high-yield bonds where we’re active. We know what we think the right risk-adjusted price is. I’m looking at historic default trends, et cetera. We’re not going to chase and that’s what my comments were related to.
Greg Peters: Excellent. Thanks for the clarification. I want to pivot and at the outset, I just want you to realize I’m not trying to get you to criticize your distribution partners, but if I consider the stock market performance as a measure of success, the insurance brokers have outperformed the underwriters on a one, three and five-year basis. And I was wondering if you could just update us on your views about the symbiotic relationship with your insurance brokers and/or if it’s changed?
Evan Greenberg: Yes. That bounces around and we’re in the risk-taking business. Brokerage is in the intermediation business only. And I realize we’re both in the advisory business that way. That they have done well, it’s not a zero-sum game. They have done well, I applaud them for it. I reflect they’ve done a good job and congratulations. And we’ll run our own race. And I’m not concerned with Chubb’s ability to outperform over reasonable periods of time and that particularly in comparison to those who were like us, risk takers. Secondly, has the relationship changed? No, it’s fundamentally the same relationship it has been for years. It changes based on tools and capabilities, change. But beyond that, the relationship is – the foundation of it hasn’t changed and that is a broker is in the business of representing their client and their client’s interest and helping them to select – advising them and helping them to select the right coverages, the right insurers and put together the right program. They intermediate that. And our relationship is – brokerage is an ambivalent relationship. You work in partnership together and you also work – you work for each of your respective interest.
Greg Peters: Thanks for the answers. Thanks, Evan.
Evan Greenberg: You’re welcome. Thank you.
Operator: Our next question will come from Mike Zaremski with Credit Suisse. Please go ahead.
Michael Zaremski: Hi. Good morning. First question, Evan, when you’re talking about the competitive environment in your prepared remarks, I think you used the term reset of risk appetite on the part of some competitors. Do you feel that that reset is causing maybe pricing to move well in excess of loss trend and low interest rate pressures in certain lines? I guess what I’m trying to get at is that I think we all know that there’s a number of competitors kind of resetting and that gives us confidence and you confidence if the rate environment stays – is moving in the right direction. But I guess a lot of investors ask us whether Chubb’s margins can maybe eventually benefit more so than peers if the environment persists?
Evan Greenberg: Yes. Look, I can only speak about what I know, not what I don’t know. There are lines of business – there are numerous lines of business where rate is exceeding loss cost trend and that is – it’s healing margins and therefore it is naturally ameliorating and benefitting margins. And then there are other lines and some of that, it’s actually improving the underwriting margin and in some areas it needs to go further because it’s still not adequate to earn under a positive underwriting margin. So it’s all over the lot. As far as Chubb’s margin goes, I’m not going to prognosticate about the future. The trends as we see them are positive, they’re good and all things being equal it benefits margin. However, I can’t speak to the future loss cost environment and future trends that way. So that’s why I never predict the future when it comes to that. We’re in the risk business.
Michael Zaremski: Okay, that’s helpful. And lastly just kind of a follow up to the previous questions, Evan you said that broadly speaking asset values are inflated and I think you alluded to also the M&A environment, but you can correct me if I’m wrong. So does that imply that there’s maybe less M&A opportunities today than I guess – well, there hasn’t been much M&A for you guys in recent years and maybe Phil can also remind us of the drag excess capital is having on your ROE? Thanks.
Evan Greenberg: Yes. In the environment, sure, you’ve seen us quiet and you observe the prices for assets yourselves. I assume you come to the same conclusion I do. Phil, on ROE?
Philip Bancroft: The drag on the ROE it’s in the range of 0.7% to 1%.
Michael Zaremski: Thanks.
Evan Greenberg: You’re welcome.
Operator: Our next question will come from Yaron Kinar with Goldman Sachs. Please go ahead.
Yaron Kinar: Good morning, everybody. Evan, this is probably just me not at full capacity after a busy night, so I apologize in advance. But there is something I don’t quite understand – I’m sorry.
Evan Greenberg: Did you drink too much?
Yaron Kinar: I drank a lot of insurance [ph].
Evan Greenberg: That’s intoxicating.
Yaron Kinar: Yes. So overall loss trend remains stable at 4.5%, which incorporates lines that are deteriorating; others that are benign. But if it remains stable, why are we seeing Chubb and peers increase only vocalizing concerns over the loss trend deterioration? And why are rates as a whole firming?
Evan Greenberg: Because the loss environment in those troubled lines, you do see trends and you do see it showing up in overall loss PIKs that you’ve seen loss ratios in casualty rising and – I’m using casualty broadly, I’m using the term to include professional lines and general casualty. And taking our workers’ comp, it varies by line but you’ve been hearing about it and seeing it in commercial auto. You’ve been hearing about it and you’ve seen it in D&O and medical malpractice and excess liability. And so that has focus and attention from – underwriters see it and the investing community sees it. So there’s dialogue about that. And I do think that it is the loss cost environment there has not been benign. I’ve been talking about it for a while. Our own loss PIKs in those areas have been increasing. It does have an impact on our overall loss ratios, because it gets blended in there and it has. And so you need to be aware of it and focus on it and it is a trend right now. It has been and is. Am I making sense to you?
Yaron Kinar: Okay. Yes. And is this the way it means though that even for a long-term loss remains stable, there’s a certain reset of a base given the recent experience?
Evan Greenberg: Not a reset of a base, but remember we’re talking loss ratios and that’s calendar year that can include prior period reserves, that includes current accident year. So naturally you’ve seen very strong rate and with more benign loss years releasing reserves – industry releasing reserves into earnings when I take prior period. And you know as you get to more recent years, rates have been going down, loss cost trends have been rising and you’ve seen underneath the surface of these loss cost trends some of these ones that I just talked about and have been talking about that are more troubling and they show up. And then in the current – that all then rolls forward to the current accident year loss PIKs where you raise your expectations based on what you see today and as it has trended from the recent and past years.
Yaron Kinar: Okay. And then my follow-up question is --
Evan Greenberg: Am I being clear for you?
Yaron Kinar: I think so. I may follow up offline, but I think I got the general gist. And then my second question is just around, you mentioned the three buckets; attrition loss for each layers, excess and large to mega. Can you offer maybe a broad distribution of those premiums for Chubb by those buckets?
Evan Greenberg: No.
Yaron Kinar: Okay. Thank you.
Evan Greenberg: You’re welcome. I don’t have those to discuss.
Operator: We’ll go next to Michael Phillips with Morgan Stanley. Please go ahead, sir.
Mike Phillips: Thank you. Good morning. I guess and I appreciate, Evan, your comments on not wanting to kind of go and predict the future. I guess I would ask then on your North America commercial, you had 90 bps of deterioration in the core. And you call out the commercial property. Can you say how much that 90 bps would have been without that commercial property loss?
Evan Greenberg: We said that – I’m a little lost. The 90 bps is in the combined ratio.
Mike Phillips: That’s correct, yes.
Evan Greenberg: The loss ratio in North America commercial was 2 points. We told you 1 point was year-to-date property were losses outside the loss PIK and we said the other 1 point was casualty related. That’s casualty long-tail lines, which is casualty broadly, and that was in line with our loss PIKs all year, no change. That’s just rate and trend.
Mike Phillips: Okay. Thank you.
Evan Greenberg: Phil gave you that.
Mike Phillips: No, perfect. Thanks. And then I guess on those three buckets again that was just asked, do you have any concerns on what you see in that second layer kind of filtering back down into the first layer that you talked about, the first bucket?
Evan Greenberg: No. We’re not seeing it that way. And think about it a little bit. The average loss always it increases by the normal trend factor in the primary layer. Frequency has been pretty steady. It’s always jittery a little bit, but steady. And the severity has risen at a kind of a normal loss cost trend. But what it does is when attachment points and that’s what I was trying to say in excess don’t change over years and years and years, the more losses bleed into that layer. Do you get it? And that’s separate from the larger one-offs that large excess losses that I talked about. I broke bucket two down into two pieces for you. And so to answer your question, no, I don’t see that. Actually, it’s the opposite.
Mike Phillips: Thank you, Evan.
Evan Greenberg: You’re welcome.
Operator: We’ll go next to Ryan Tunis with Autonomous Research. Please go ahead, sir.
Ryan Tunis: Hi. Thanks. Good morning. Evan, I wanted to go back to your comment in your prepared remarks where you said that conditions are sustainable. I was just a little bit confused on what in particular is sustainable? Is it the pricing environment, is it where you view the loss trend environment, just I guess maybe a little more specificity on that please?
Evan Greenberg: Yes, buddy, you’re over thinking it. I was talking about the underwriting and pricing environment only.
Ryan Tunis: Got it, so broadly speaking. I guess my follow up --
Evan Greenberg: The trend we see in pricing and underwriting, we see – in the areas that this is impacting, we see it continuing.
Ryan Tunis: Understood. And then I guess my follow up is keeping it on this discussion about – it sounds like – and I might be wrong on this, but it sounds like there might be a difference between the conversation about loss trend and the conversation about loss PIKs. Like for instance, Phil mentioned that – sorry, Evan --
Evan Greenberg: Go ahead.
Ryan Tunis: So Phil’s comment that because of casualty lines in North America, your loss ratio deteriorated a point. That’s similar to previous quarters but in previous quarters you seemingly didn’t have quite as much rate. So is it such that there’s an uncertain enough loss environment that you’re observing a certain level of trend but maybe you’re saying we should – out of abundance of conservatism just continue to set loss PIKs a little bit higher and that’s why that’s perhaps staying at a point or was it more simple than that and I just have that wrong.
Evan Greenberg: It’s more simple than that. I’m trying to understand what your – how you’re thinking about it. But remember, the loss ratio is based on earned rate not written rate. And it’s earned rate over – the loss PIK you have, the earned rate goes into. Again, you trend losses forward. We have an overall loss trend factor of 4.5. We had an earned rate of whatever it was in those long-tail areas. That went into us imagining a loss PIK for the year in those casualty areas of X and that has remained steady. We have not changed the loss ratios we have selected in any of our casualty areas.
Ryan Tunis: So if more of that earned rate comes in, we would expect that point of deterioration to moderate?
Evan Greenberg: Then the earned premium grows, then you look at the loss cost trend for each line and you decide does it remain the same or does it go up or go down?
Ryan Tunis: Got it. I’ll leave it there. Thanks, Evan.
Evan Greenberg: Okay. Best I can give, Ryan. That’s why I’m not prognosticating future, I go back to that, but based on what I see right now, I got a 4.5 loss cost trend and I’ve got – and that is blend of all lines of business and we’ve got rate that exceeds loss cost trend in North America on a written basis.
Operator: Next is Brian Meredith with UBS.
Brian Meredith: Thanks. Evan, I’m just curious. Are you getting tightening terms and conditions and enough to maybe ameliorate some of this loss cost trend going forward, or should we not think about it that way?
Evan Greenberg: Are we getting changes in terms and conditions?
Brian Meredith: Yes, tightening enough to maybe – the 4.5% that you’re seeing are some of the social inflation?
Evan Greenberg: In some – and I don’t want to overstate it, so I don’t – you can’t take it in, in the overall. But we are getting more changes in deductibles, we’re getting changes in sub-limits, we’re getting changes in attachment points, in casualty excess and those things are all part and are ameliorating and we put values on those.
Brian Meredith: And that’s not in your – when you give us your price increases, that’s not included in that, is it?
Evan Greenberg: In some lines, it is, because where we can actually measure it, it is an exposure adjustment and then we take rate against exposure and we determine – where we can determine mathematically, that is the same thing as rate. So we consider it.
Brian Meredith: Great. And then my follow-up question, Evan, I’m curious. PG&E I know it’s been talked about a little bit. There’s some nice subrogation that should be coming through there. What are your kind of thoughts on that subrogation? When could you potentially see some of that come through?
Evan Greenberg: I’m not going to speculate on that. But we don’t see any material or substantial future subrogation opportunity for Chubb from PG&E.
Brian Meredith: Got you. Thank you.
Evan Greenberg: You’re welcome.
Operator: Our next question will come from Ryan Tunis with Autonomous Research.
Ryan Tunis: Thanks. I actually didn’t have another one, but I guess I’ll ask on agriculture. I think I asked last quarter on this as well. No, I don’t think anyone got to it. But, yes, I guess there was a little bit of a higher loss PIK there. I guess first of all, what does that incorporate? How much development can we potentially expect on that in the fourth quarter? And what are you still thinking a good combiner is to use for that business as we look out to 2020, or I guess in normalized annual combined ratio for the overall crop segment?
Evan Greenberg: I’ll just take that last part. We’ve run in the high 80s to 90 historically and we don’t see a change to that. And by the way, looking at the last number of years we had excellent results, the last few years in that business. It has a natural volatility. It’s crops. It has both a nutritional and a CAT-like nature to it. And this year we’re going to have a less than average year for that business. And let me turn it over to John Lupica for a minute to give you a little more color on that.
John Lupica: Yes. Thanks, Evan. Ryan, so we certainly adjusted the year-to-date numbers in the quarter based on what we know today. And we still have to capture all the yields from the field before we can really put a final number. The nice part about the yield is prices are pretty much at base prices. We finish out the October harvest price schedule. So due to the delay in [indiscernible], the harvest period has been pushed out five or six weeks. So I think by the end of the year we’ll obviously have a better sense of the year. And as Evan noted, we don’t see any change off our expectations. We certainly expect it to be in that low 90s area.
Evan Greenberg: Low 90s combined for the fourth quarter would be about where we would imagine if nothing changes from what we know now. But God, there’s a lot of unknowns out there. We have no idea right now about yields. We just don’t know.
Ryan Tunis: Perfect. And I guess I’ll ask one more. Workers’ comp, Evan, obviously there’s been some rate pressure. How are you seeing absolute levels of profitability there? Are – there are few opportunities at one point. What’s the outlook right now on workers’ comp?
Evan Greenberg: For Chubb that’s not a growth area at this time. It has – loss cost trends have been quite benign. And the industry has responded with a lot of competition and lowering the prices, some of it rational, some of it to us, just beginning to overshoot that mark. And the benign loss cost environment it’s questionable whether that will remain. And so we have been – as rates have been coming down, we have been exerting more discipline in that area. It has not been a growth area for us. And I’m speaking about first-dollar primary risk transfer business. In our risk management business, that’s a whole different book and that’s where the – that’s a large account where it’s self insured or self funded on some basis and we provide all kinds of services and we provide excess coverage. And there that’s an area that we’re quite active and probably the largest writer of that in the United States and we have a lot of knowledge and capability. And that’s where the client has skin in the game, and so that we treat different.
Ryan Tunis: It makes sense. Thanks.
Evan Greenberg: You’re welcome.
Operator: Next, we’ll go to Jay Gelb with Barclays. Please go ahead.
Jay Gelb: Good morning. I know it’s early days with regard to other catastrophe loss potential in 4Q, but any initial perspective on Typhoon Hagibis and the California wildfires and looking at that relative to what was a pretty heavy catastrophe loss a year ago in the fourth quarter, around 8 points of catastrophe losses on the combined ratio, how should we think about that?
Evan Greenberg: Well, you should think that this is the end of October, so we’re one-third through the movie. And I can’t tell you how the movie ends. I didn’t see it before. So I don’t know. We’re in the risk business and part of being in the risk business, we take catastrophe exposure. And so I don’t wring my hands about having catastrophe losses. I’m just concerned that we measured the exposure correctly and did we charge a proper price for taking the risk. Other than that, I’m going to have that volatility, so I’m not wringing my hands. On the Japan typhoon, so far from everything we know, it is not a significant event for Chubb. On the California wildfires there were ongoing right now. The only thing we know is the Tick Fire is the one that’s out and on that one, we didn’t have any losses. And on the other two, it’s just very early days and I’d rather not predict. And I don’t know what the outcomes will be at this moment. Our losses are very minor.
Jay Gelb: Right, understood. And then on a separate issue, I just wanted to follow up on the North America commercial. The gross rate in premium in the third quarter was up 10% year-over-year. Was there any one-timers in there that would have influenced that or was that kind of a true perspective on the growth rate that you’re now seeing in that business given improving market conditions?
Evan Greenberg: We didn’t have anything mega in the quarter, but we write large accounts there. And so we won a number of new large accounts and that’s what just gets baked into that, but nothing in particular that stands out to us.
Jay Gelb: So a strong acceleration in the core business.
Evan Greenberg: It was a strong growth quarter. We won a number of new large accounts in the quarter. But remember, it’s lumpy business. So I can’t tell you the next quarter is going to be the same. It bounces around a bit, but it was very good.
Jay Gelb: Understood. That’s great. Thank you.
Evan Greenberg: We liked everything we saw about how the market behaved and moved towards us in terms of rates and terms.
Jay Gelb: Excellent. Thank you.
Operator: Our next question will come from David Motemaden with Evercore ISI. Please go ahead.
David Motemaden: Hi. Good morning. Just had a question – and I appreciate the color on the three buckets. Just wanted to get a little bit more detail on when you really saw or have seen an acceleration in the loss trends in the last two buckets? And specifically if you’ve seen any increase over the last couple of quarters that you’d note?
Evan Greenberg: Nothing over the last couple of quarters that we’d note. I’ve been talking about this. If you go back into shareholder letters, into quarterly commentaries, we’ve been talking about this for two years.
David Motemaden: Got it. So no meaningful acceleration beyond what you’ve been mentioning, okay, that’s helpful. And then just on the PPD in North America commercial, the [indiscernible] obviously went into effect this quarter. Just wondering any early indications you got on your exposure there and if that was an element that led to the lower year-over-year PPD?
Evan Greenberg: No, zero, number one. Number two, I think you’re referring to New York. California went into effect, I believe the governor signed it last week and there are a number of other states that are in the middle of passing reviver statute now. We have no way at this point of estimating the exposure and ultimately loss to Chubb in that. And so you’re at the very beginning, it’s way too early.
David Motemaden: Okay, great. Thank you.
Evan Greenberg: You’re welcome.
Operator: Ladies and gentlemen, at this time we’ll take our final question from Meyer Shields with KBW. Please go ahead.
Meyer Shields: Great. Thanks very much. Evan, I was wondering if there’s any way of quantifying broadly how much of the current insurance market is adequately priced compared to a year ago.
Evan Greenberg: Meyer, we haven’t done – we haven’t added it up that way or thought about it that way. And when you say the market, that’s asking – I cannot tell you the adequacy of the ocean overall. So, no.
Meyer Shields: Okay, fair enough. The second question, given – I don’t know whether it’s external – whether issues with the underlying chronological changes. Is there any way of assessing what loss trend is for North America property lines?
Evan Greenberg: There’s no way for you to assess that, but we can assess that.
Meyer Shields: Can you tell us what you’ve come up with?
Evan Greenberg: And it will vary – Meyer, I’m not disclosing it, but it will vary – we’re not going into sub-lines, but it will vary – we have a number of property portfolio. We have first-dollar property that is admitted risk, we have first-dollar property that is E&S and they behave differently. We have excess property. And we have other coverages that go along with them and then we have large account property. And it all behaves a little bit differently.
Meyer Shields: Okay. Thank you very much.
Evan Greenberg: You’re welcome.
Operator: This does conclude today’s question-and-answer session. I’d like to turn the call back over to today’s presenters for any additional or closing remarks.
Karen Beyer: Thank you all for your time and attention this morning. We look forward to speaking with you again next quarter. Thank you and have a good day.
Operator: This does conclude today’s call. Thank you for your participation. You may now disconnect.